Operator: Good afternoon. This is the Chorus Call conference operator. Welcome, and thank you for joining the Azimut Group Full Year 2025 Results Conference Call. [Operator Instructions] At this time, I would like to turn the conference over to Mr. Giorgio Medda, CEO of Azimut. Please go ahead, sir.
Giorgio Medda: Thank you very much. Good afternoon, everyone, and thank you for joining us today for the Azimut Full Year 2025 results presentation. I'm Giorgio Medda, CEO of the group, and I'm pleased to be here with Alessandro Zambotti, CEO and Group CFO; and Alex Soppera, Head of Investor Relations. So this past year has been a truly defining one for Azimut and likewise, a very exciting one. As you know, it was a year marked by change in leadership, yet our growth not only continued, but actually accelerated. The defining step in our growth journey reflects both the strength of our business model and the dedication of our people across all our markets. So let's dive right into the presentation and move to Slide 3, please. So the year 2025 continued to be one where we executed a deliberate results, and we closed by achieving a record EUR 32 billion in net inflows and a net profit of EUR 526 million, both above the Street expectations. Most notably, our recurring net profit grew by an impressive 20%. That is a best-in-class result. During the year, we also anticipated some key guidelines for our Elevate 2030 strategic plan. This plan will drive the next stage of growth for Azimut, defining an even more ambitious trajectory that we showcase the full potential of our diversified global platform and reinforce our position as a leading global independent player. Beyond these exceptional operating numbers, we are thrilled to discuss our concrete commitment to creating shareholder value, including a proposed raised dividend of EUR 2 per share and a strategic capital allocation framework that aims to return roughly 25% of our current market cap over the next 18 months through dividends and share buybacks. Finally, while the process has taken longer than we originally envisaged, we continue to make progress on the TNB transaction. And let me tell you that this represents a transformational step for the group that will unlock significant value and, certainly Alessandro will discuss it more in detail later during the presentation. We are moving full steam ahead, carrying the strong momentum into our 2026 targets and the execution of our Elevate 2030 strategic plan. And with that, let us please move to Page 4, where we can look at the key financial and operating highlights for the full year. First of all, total assets reached an impressive EUR 145 billion at the end of January '26, marking an excess of 30% increase per year in terms of assets, a new absolute record for the group. This was fueled by a spectacular EUR 32 billion in net inflows during 2025, which represents the strongest annual performance in our company's history. More importantly, 66% of these flows came from our global operations. This clearly demonstrates how the continued expansion of our international platform is successfully driving growth beyond our core markets in Italy, which remains strong and continues to be the foundation of our success. Furthermore, looking at our current trading for 2026, we are off to a very strong start and continue to see excellent momentum across the board. On the financial side, at a very high level, revenues reached EUR 1.4 billion, supported by a solid 9% increase in recurring revenues, and that confirms the high quality and resilience of our business mix, while the operating profit stood at EUR 649 million with our recurring EBIT also up 9% year-over-year. Group net profit reached EUR 526 million, and the recurring net profit grew by a very strong 20% compared to last year. This reflects the steady expansion and scalability of our core business. Finally, let me highlight that net profit from our global operations reached EUR 101 million, which now represents 19% of our total net profit. This consistent growth across our regions confirms the effectiveness of our international strategy. And these figures, let me tell you, put us in a highly robust position to continue executing our long-term growth agenda and creating tangible value for our shareholders. Now turning to Slide 5. We want to put our exceptional performance into a clear perspective. And these numbers, I think, speak volumes. Our recurring net profit growth of 20% is not just strong. It completely dominates the sector when compared to our Italian peers. And the difference is quite striking. While our competitors reported profit growth ranging from negative 1% to a maximum of 11%, Azimut delivered a robust 20% increase. This significant outperformance directly reflects the resilience and high scalability of our diversified global model and a factor that, in our view, is not fully appreciated by the market. Moving to slide 6, we look at the as we normally do at the bridge between our 2024 and 2025 net profits. As I mentioned earlier, the group net profit reached EUR 526 million compared to EUR 568 million last year. However, as this chart clearly illustrates, the difference main reflects lower performance fees and capital gains below the operating profit line, while recurring profitability continued to grow strongly. Finally, under other items below EBIT, we see a negative variance of EUR 57 million and it's important to note that the 2024 baseline was significantly elevated by the capital gain from the sale of our stake in Kennedy Lewis. While in 2025, this block includes some non-recurring write-offs onto investments reflecting conservative valuation assumptions, which were partially offset by the growth of Nova, lower taxes, including a one-off tax refund and gains on our own investments. Because of this moving part below the operating line, the truest measure of our success is highlighted in the lighter blue columns, and the already mentioned 20% recurring net profit growth to a phenomenal EUR 479 million. Now, let us turn to slide 7 and 8, where we look at the economics behind our different business lines and regions. Because the underlying drivers of our business remain highly consistent with what we presented during our 9-month update, I will keep this section very brief. On slide 7, looking at our business line, you can see that Integrated Solutions continues to act as a powerhouse for the group. This core vertical commands superior stable recurring margins of 70 basis points. And at the same time, Global Wealth and our Institution and also divisions are experiencing strong commercial momentum and have become incredibly robust contributors to our net profit, making up about 20% of the overall net profit. And let me tell you that our strategic affiliates remain in a very active phase of growth and consolidation, with investments ramping up as planned to expand their platforms. Moving to Slide 8 and zooming in by region, the results really confirm the strength and diversification of our global strategy, with Italy that continue to show exceptionally robust earnings, maintaining obviously a stable operating development even when factoring in lower performance fees and some TNB-related costs. And obviously, globally, we are, you know, our underlying profitability is accelerating thanks to asset growth and strong operating leverage with a very strong and impressive momentum in the Americas, driven by the U.S. and Brazil. And when you look at the contribution of the global business, I mean, this is summing up to a very healthy recurring net profit margin of 41 basis points. Now moving to the next few slides, we are incredibly excited to share a new level of detail and transparency with all of you today. For the first time, we are providing a deeper look under the hoods of our key business verticals to truly showcase the underlying power of our platform. Let us start with Slide 9 and look at Integrated Solutions, which represent the DNA of the firm and remains a massive growth engine for the group. This core vertical is built on a powerful vertically integrated business model that combines our proprietary product factories with our exceptional network of top-tier financial advisors. This is what's made Azimut succeed in Italy out of a very pioneering business model. Today we have been able to say that we successfully exported the same model to key high growth markets such as Brazil, Mexico, Turkey, and Taiwan. Here, we are disclosing the average assets per advisors across our key countries. And as you can clearly see, our network is highly productive. In Italy, excluding the TNB perimeter, average assets per advisors stand at a very strong EUR 29 million. However, when you look at the global figures, I mean, these are even more striking. In Brazil, average assets per advisor reach EUR 32 million. And in Turkey, pretty impressive results of EUR 66 million per advisor. This proves that our model of combining proprietary product factories with top-tier financial advisors is highly scalable and remarkably effective across different global jurisdictions. Turning to slide 10, we want to spotlight our Global Wealth Solutions division and the productivity that we are seeing across our key international hubs. To give a brief overview of this business, Global Wealth Solutions connects our extensive network to deliver exceptional investment ideas and products worldwide, where we offer a true multi-asset proposition across both public and private markets, all supported by a unified custody set up with the world's leading banks. Our solutions range goes from personalized advisory and discretionary portfolio management services to highly customizable, actively managed certificates and bespoke structured products as we aim to cater to high-net-worth to ultra-net-worth individuals, families, and institutions around the world. In Monaco, for example, we combine a bespoke private banking heritage with sophisticated asset management solutions. In Switzerland, we leverage a unique local model to serve our clients. And our U.S.-based Azimut Investment advisers provide neutral client-focused advisory portfolio consolidation for both domestic and Latin American investors. And in Dubai, Singapore, and Hong Kong, we act as a premier global partner for individuals and institutions. A major competitive advantage for our high net worth clients is our capability to facilitate offshore investing as we leverage our Luxembourg idea factory as a central hub for product generation, as we provide a unified financial services offering with multi-booking capabilities across different jurisdictions. Our regional figures are truly exceptional. In the United States, our relationship managers oversee an average of $260 million individually. Monaco and Switzerland are also highly productive, managing $140 million and $138 million per adviser respectively. Also we are seeing fantastic scale in the UAE, Singapore and Hong Kong that are coming up and showing very high growth rate. The average book of business relationship manager globally has increased by a solid 8% year-over-year, reaching an impressive $104 million. And we grew our team with 12 new additions throughout the year. That obviously proves that as we expand our footprint and grow our team of relationship managers, we are just not adding headcount, but also productivity. When you look at slide 11, you see how our total assets for this division, for this distribution line reached $9.4 billion by the end of 2025. And You know, $1.3 billion was essentially addition during the year, the result of organic business development that is a very robust 18% growth rate, and we see this accelerating as we have started the year in a great fashion. We continue to attract new assets and scale our overall book of business, cross-selling our high-quality proprietary solutions to these existing portfolios, and we are incredibly excited for what, you know, lies ahead for us in the future. And finally, on slide 12, we detail our institutional and wholesale division. This segment has grown into a globally diversified platform, with now more than EUR 41 billion in total assets. And you know, the mix is exceptionally well-balanced, with 42% institutional clients and 58% wholesale. We wanted also to provide here more details about the institutional business by region to give more color about our activities that go beyond our domestic market. And certainly to note here is the weight and the significance of our U.S. business from a regional standpoint, and that is the result of certainly the consolidation of the recently acquired North Square Investments. And then turning to slide 13, we want to highlight a selection of our most significant client wins. I'm not gonna go through every single win, although each one is certainly a big testament to our ability to perform and to have now the credentials to grow beyond our home market, but you can see here that certainly we display the power of a very well-diversified product factory across both public and private markets. Now turning to slide 14, I think, you know, this is the best slide to perfectly translate everything that we just discussed in terms of our global platform into tangible bottom-line numbers. Historically, some market observers have been very skeptical about the true profitability and value of our international expansion, certainly over the last decade, where we have been very focused and committed to grow the business. But finally, we can see that these are very exceptional data that, you know, prove, in my view, in a very sort of indisputable way that those skeptics were very, very wrong. Over the years, we have strategically deployed approximately EUR 660 million in net M&A investments to build our international footprint. Today, this platform accounts more than EUR 73 billion of total assets and generates more than EUR 100 million of net profit. That itself translates on a 15% return on investment. That, you know, compared to any cost of capital you can estimate for the business, we believe our cost of capital is 10%, proves a very meaningful and sizable value creation that we see expanding in the short and long term. And as I said, it clearly demonstrates what has been the effectiveness of our capital allocation strategy. In slide 15 is just a very quick but powerful reminder of our ambitions through the Elevate 2030 targets that we already published in November. And just make one point very clear, our growth story is far from over, and our fundraising efforts of EUR 5 billion to EUR 8 billion a year will lead to effectively double our average total asset. It translates into a remarkable EUR 180 to million-EUR 280 million in net profits generated strictly from our global operation by the end of this decade. In the following slide, we just summarize what are the different product initiatives, you know, driving growth in the short term across public markets, our Luxembourg mutual fund range, our financial planning franchise with our life insurance solutions. Certainly here, we have been moving very, very aggressively when it comes to the launch of a brand-new product such as active ETFs in the U.S. market courtesy of the distribution reach of NSI. And the strong push that we are making for our Global Wealth Solutions business around the world. And then let me touch very briefly upon something that has been very, say important topic of interest in the market over the last few weeks, the state of, private credit and private markets in general, aside from the news flow that we see particularly overseas. I wanna just give a brief update on our 2026 product pipeline when it comes to private markets. First of all, we are in the market now with a significant number of funds that are currently raising a commitment. Overall, we have a target over the next 12 to 18 months for EUR 2.1 billion of commitment to be raised for a very wide range of strategies. As I mentioned, we already covered almost, you know, 30% of this target. But what is important to appreciate from slide 17 is the diversified offering that we have, certainly diversified in terms of investment verticals, and likewise in terms of geographies now with Europe, U.S., Latin America and Turkey, you know, showcasing a very strong product development activity in this respect. In page 18, we show where is for our Italian business, the exposure of our retail clients to illiquid strategies. Here what is remarkable is essentially, there are two things that actually they are probably noteworthy. The first one is that we started talking to our clients and, you know, explaining the merits of diversification across liquid assets well before many of our competitors did. Actually, this is an exercise that started 6 years ago in 2019. Today, we have achieved an exposure of almost 9%. That is remarkable in absolute. Certainly is the, you know, proof of the very hard work that we put and the trust of our clients into this investment diversification effort, but also proves how we are ahead looking at our global competition. We are using here data coming from a McKinsey report. But what is striking is that we have an average exposure that is 4x larger than what you have globally. And even when you look at the long-term target, there is a target forecasted and projected by McKinsey of 10% exposure of retail to private market investments, but we keep our long-term target of actually achieving 15% to 20%. And this can only be done with, as I mentioned, diversification. We have read a lot of things over the last couple of weeks, as I mentioned. What we want to show in slide 19 is the approach that we have, particularly when it comes to our Italian franchise. And here is just a deep dive into a subset of our Italian private market strategies that amounted to approximately EUR 5.5 billion overall. Here we are focusing on 3.1, and we are only focusing on private equity and direct lending strategies. And what we want to show here is the very high level of diversification, both in terms of assets and sectors, essentially reducing any geographic risk that comes from very large exposure to a single sector or to a very concentrated portfolio of investments. And in slide 20, and I think that is the most important of all these slides, you know, highlighting our success across private markets is, you know, the result, the performance that we are generating. There are a lot of figures in this slide, but let me focus on a few metrics. First of all, you see here what we have raised across the different verticals. Obviously, we are looking at different asset classes in a way. And let's look at some performance metrics such as total value to paying investments. That is a measure of the performance as it is accounted in our NAVs. Let me tell you that the NAV calculation rules are pretty tough in Europe, and we are not really allowed to assume or to take any sort of mark to market beyond what is really proven by the actual accounting of the businesses and what has been achieved. So these are very reflective measures of performance embedded into the funds and obviously when we come to these portfolios, we come to, you know, realization of the value out of exits, we will be able to distribute reasonably higher performance to our investors. Let's see, what is the average vintage of all these strategies, and certainly compare also to our, you know, to the benchmark. These are very remarkable, they say proof of our ability to generate even over a short period of time, value out of illiquid portfolios. And then last but not least, I mean, certainly, meaningful when you look at the news flow that I mentioned just now, what is the ratio of distributions to our investors that in certain instances for private equity, private debt and a number of club deals has achieved almost, you know, between 15% and 20% of capital being returned to our investors. That is certainly considered a very average young vintage, a very important element appreciated by clients who have started familiarizing with this illiquid investments only recently. I will now turn to Alessandro for a detailed review of our financials for 2025.
Alessandro Zambotti: Yeah. Thank you, Giorgio, and good afternoon to everyone. Moving to slide 21, let us take a step back and look of the fantastic track record that we have built over the past 7 years. Since 2019, we have expanded our footprint and compounded our growth, driving our total asset to continuous new all-time high and growing at a remarkable 16% CAGR to about EUR 145 billion as of today. So over this time, over this same period, we captured EUR 94 billion in cumulative net inflows with an highly strategic EUR 10 billion flowing directly into private market. And our success goes hand-in-hand with the success of our clients as we generated a net performance for clients of about 28% after cost. And for our shareholders, the numbers are also speaking for themselves. The group generated EUR 3 billion in net profit, distributing EUR 1.3 billion to shareholder, including the actual this year proposed dividend of EUR 2, and fully repaid close to EUR 1 billion in debt and transforming to cash position of over EUR 800 million. So these are important numbers and are a direct reflection of our discipline, execution and the structural resilience of the entire Azimut Group. So then turning to slide 22, we want to highlight the exceptional quality of the revenues that are driving these record results. I mean, historically, some market observers question our reliance on performance fees, that this slide definitely demonstrates we have completely transformed our earnings profile. It's a clear strategic choice that has led us to have a P&L driven mainly by highly stable recurring revenue. And today, only a small fraction of our revenue base remains exposed to variability. With about 95% of our total revenue now coming from this stable income stream, and we have built a robust engine that delivers a highly predictable value year after year. So now moving to slide 23, we once again review our ability to generate value and recurring profit, confirming for 2025 the solidity of the recurring net profit margin. But above all, as you can clearly see from the chart, 2025 marks a new all-time high in the history of our firm. We deliver an outstanding EUR 479 million in recurring net profit, constantly growing year after year. And to put this, I mean, this into perspective, this figure is more than two and a half times larger than in 2019. Let's now also go into the details as we always do, in particular on slide 24, where we have the revenue breakdown. The revenue grow by a solid EUR 71 million thanks to the continuous growth of the recurring revenues, which offset the lower contribution from variable fees from both the open-ended and the insurance funds. Looking more closely to the components, so at the level of the recurring fees increased by EUR 82 million year-over-year. This was supported by the continuous expansion of global business. EUR 42 million is coming from our international business and mainly driven by the contribution from U.S., U.A.E., Brazil, Singapore and Monaco. In Italy, we deliver broad-based growth across all business lines, spanning mutual funds, alternative investment, pension funds, and also our Nova partnership is becoming more significant. Regarding also performance fees, we recorded a year-over-year decrease of EUR 17 million. However it is important to highlight the EUR 24 million positive global momentum, driven by Brazil, Turkey, Monaco, and Switzerland. In Italy, we sustain strong alpha in our domestic discretionary portfolio management, which help us to offset a negative fulcrum effect. Finally, looking at the insurance revenue, while the total was down at EUR 11 million compared to last year, the underlying quality of this revenue stream improved. We achieved a 5% increase, representing EUR 5 million in recurring insurance revenue due to the solid growth and the optimization of our product mix. The overall decrease was entirely driven by a EUR 60 million drop in the insurance performance fees, reflecting a softer, first half performance compared to the exceptionality, coming from the strong figures we saw in 2024. No less important, I mean, when looking to the first two months of 2026, we are off to a solid start. At the level of the other revenues increased by EUR 70 million, compared to last year, mainly driven by structuring fees related to our growing Brazilian private infrastructure business that we already commented for the previous quarter. So then we are back to, let's say, to a normal evolution of the, I mean, of this line. On the next slide, we analyze the cost, where we note an increase of EUR 55 million in total. Here, we try to give you so some more detail as well. At the level of the distribution cost, we have an increase of EUR 29 million compared to last year. This is partially explained by the direct correlation with recurring revenue growth in Italy and abroad, particularly in the areas of Singapore and Monaco. And it also reflects the higher provision for variable incentive to Italian FA, alongside the strategic marketing and TNB related costs that we already mentioned during the year 2025. Moving to personnel and SG&A, we recorded a EUR 25 million increase. This is primarily a perimeter effect driven by our successful M&A activities, and in particular I'm referring to Kennedy Capital and HighPost, while domestically we maintain cost discipline. A few words on the fourth quarter increase. This is strictly tied to performance linked compensation that align with the strong alpha and that our team and portfolio manager deliver. D&A and provision, I would define it as broadly flat. And in general, it is always important to emphasize that acquisition costs are mainly driven by the Italian business. You see about 90% contribution, while the administrative costs are split 60/40 between Italy and the international business. We close with the next slide, which instead tries to detail the results below our EBIT. First, thanks to the geographical diversification of the group, recurring EBIT grew by 9% to EUR 578 million. Moving below the operating line, finance income amounts to EUR 41 million for the year. This was primarily driven by a positive EUR 37 million contribution from our own investment and related portfolio performance, along with EUR 8 million in net interest earned, and another EUR 8 million in dividends from our GP stakes and strategic affiliates. It is worth noting that this line item was impacted during the quarter by EUR 25 million, non-recurring, write-off on specific investments. We are talking about VC proprietary investment. And achieving, I would say, looking also to the fantastic results, an extremely conservative approach, we define it as a better and conservative approach to make more, you know, confident on the future numbers of the group. Regarding our tax position, we're recording an adjusted tax rate of 21.5% for 2025 and excluding our EUR 27 million of one-off tax refund related to the infra-group foreign dividends. Looking ahead, we are guiding for a normalized tax rate of approximately 25% for the full year 2026. And then ultimately, this brings us to the bottom line and the recurring net profit of EUR 479 million as already mentioned, with an impressive 20% compared to last year. Moving to the slide 27. Here we have, as usual, our net financial position. Today, the group has no debt and the net financial position is, it's around EUR 813 million, with an increase compared to the previous year. The change of, I mean, the increase of EUR 63 million compared to last year is mainly due to the contribution, obviously, of the net profit before tax. So I'm referring to the EUR 673 million, then we have the contribution, the positive contribution coming from our proceeds from our disinvestment in Australia and the exit of RoundShield that is contributing EUR 121 million. And then let's say we have an observation of cash coming from the M&A for EUR 60 million, advanced taxes for EUR 275 million, dividend for EUR 323 million, and buyback of EUR 62 million. So this should reconcile the variation compared to previous year. Moving to slide 28. We highlighted our continual commitment to delivering substantial tangible returns to our shareholders based on our record recurring profitability and our highly resilient cash generation. The Board of Directors is proudly to propose a dividend of EUR 2 per share with an increase of 15% compared to the previous year and dividend yield of approximately 6%. This proposed dividend perfectly aligned with our stated capital return strategy that we will elaborate into more detail shortly. Moving to slide 29. We want to detail our capital return strategy, which reflects our concrete commitment to create value for our shareholders. So as you can see from the headline, we are targeting an optimal capital structure to allow us to distribute approximately EUR 1.3 billion in cash over the next 18 months. To put this into perspective, this represents roughly 25% of our current capitalization. Looking at the bridge chart, this plan is fully supported by our strong financial position. We start with EUR 379 million in distributable cash and EUR 434 million in committed equity at the end of 2025. A significant portion of this commitment is tied to our expansion in the United States, most notably our acquisition of NSI. And as you may recall, this strategic transaction involves a minimum purchase price of $110 million, which will be paid through a combination of cash and Azimut shares. Furthermore, this commitment equity covers our recent transaction in Brazil and includes provisions for future potential turnout, commitment, and options to increase our shares in transaction done across our global platform. We have set aside approximately 30% to cover our operating cash and net working capital needs. And then there is another 15% specifically reserved to meet our global regulatory capital requirements. Finally, the remaining 10% is deployed into our proprietary investment, as are referring to open-ended fund are included in the net financial position and are directly support our product generation and co-investment strategies and provide potentials for outside returns, such as the one we achieved with Kennedy Lewis in 2024. Looking ahead over full year, I mean, the year 2026 and 2027, we expect to generate approximately EUR 650 million in free cash flow available for distribution. And along with roughly EUR 250 million in proceeds from our strategic disinvestment, most notably the upfront cash from TNB transaction. This is basically give us about EUR 1.3 billion, as I mentioned at the beginning, to return to our shareholders. We plan to execute this return through two main channels. First, a share buyback program of up to EUR 500 million, which includes the full cancellation of the repurchase shares. Second, the distribution of between EUR 715 million and EUR 800 million in dividends during 2026 and 2027. To conclude on this slide, we want to reiterate that our capital return strategy is the ultimate testament to our ongoing value creation. With the comprehensive plan we have laid out today, we are decisively addressing and resolving any doubt regarding our use of cash and our capital allocation policies. So moving to slide 30, for a quick update on TNB project. The project is ongoing and the TNB division, with the support of the FSI, the fund is proceeding with a good growth result. Robust numbers for total asset growth, which at the end of January already exceed EUR 29 billion. Also at the level of the revenues and the net profit, they are continuing to expand. Although the net profit is penalized by directly affiliated marketing and project costs, that is as well mentioned at the beginning when we comment our evolution of the administrative costs. Regarding the transaction timeline, as you know, we are extending the agreement with FSI substantially until the end of the year, and we continue to work together on the IT separation and all the operational setup necessary to complete our migration and, you know, to conclude our important project. Finally, I want to provide a brief update regarding the Bank of Italy remediation plan of Azimut Capital Management. At the end of February, we successfully concluded the remediation activities. This has been completed also maintaining a constant alignment with the regulator. We are now entering the final phase, which involves the internal audit verification of all the implementation related to the remediation plan. This internal verification will conclude, we expect to conclude it at the end of March. So then concluding this phase, we expect then the regulator will formally validate the outcome. This keeps us fully on track on the officially complete the action plan by our target that was defined with the regulator at the end of April 2026. But as well as I mentioned, we are achieving it 1 month before. This we know that is 1 of the prerequisite steps to receiving the necessary regulatory approvals from the regulators for the overall TNB transaction. So we are confident that we will have conclude this project before the end of the year. With this, I hand over to Giorgio, thank you.
Giorgio Medda: Thank you, Alessandro. So turning to the last slide, Slide 31. I'd like to conclude today's presentation by looking at our guidance for 2026. We are building on a fantastic commercial momentum that we have generated across our global platform. And we can only confirm our targets for the year that I remind you are as follows: under normal market conditions, we are targeting EUR 10 billion in total net inflows and a core net profit of EUR 550 million, excluding extraordinary items. I mentioned at the beginning of the call, we are already off to a very strong start. And as you can see on this slide, based on the preliminary February figures in just the first 2 months of the year, we have already achieved over EUR 3 billion in net inflows. And at the beginning of next week, we will provide a more detailed review of how we got there. This early momentum gives us a very solid foundation and the confidence in our ability to deliver another year of robust and profitable growth. So to sum it up, our platform is accelerating also in 2026, -- our growth path is clearly defined, and we remain entirely focused on executing our strategy, creating outstanding value for you, our shareholders. So thank you all for your time today, and we remain very excited about the future of Azimut, and we will now open the floor to your questions. Thank you.
Operator: [Operator Instructions] First question is from Gian Luca Ferrari, Mediobanca.
Gian Ferrari: Three for me. I would start with TNB. I understood that the first part of the process has almost been completed. I was wondering more on the second part of the process. Will be you guys in charge of it or FSI will step in and will, let's say, discuss with the regulators about the final approval of the project. The second is -- and the third actually are both on Page 29 on the new capital management policy, a couple of clarifications. The first one is the EUR 250 million proceeds divestments -- is this related to the first part of the upfront of TNB that if I recall correctly, was EUR 240 million. Are you referring to the distribution of that part of the cash you should receive? And secondly, going forward, after 2027, how should we think about this new capital management policy? Are you going to provide us with a dividend payout on the cash flows you generate plus are you still -- will you still go for a sizable big buyback program with cancellation or you will shift to annual buyback programs? And if you elaborate a bit on what will be over time the approach?
Alessandro Zambotti: So I'm going to take the first 2, and then Giorgio will elaborate on the third one. So in relation to TNB and the other way around, we are running, let's say, both sides in the discussion with the regulator because, as you said, at the level of total capital management, we are running the remediation. And as I mentioned, we finalized the remediation at the end of February. And this is our main focus as Azimut, obviously. On the other way around, the fund, so FSI is dealing with the other division, I would say, of Bank of Italy responsible of the authorization or at least the preliminary presentation before it goes to the European Central Bank. So we are splitting the activity in 2 parts. And obviously, the fund is the main reference for Bank of Italy to finalize the regulatory process of the authorization on their side. For the EUR 250 million, it's like surrounding amount linked to the EUR 247 million of proceeds. So I'm absolutely referring to TNB just with the rounding to make the numbers easy to read it.
Giorgio Medda: So Gian Luca, let me pick up your third question. Obviously, we are providing here visibility until the end of 2027, that is more than 18 months from now. And let me tell you that you can certainly tell how something will go by how it begins. So obviously, we set the tone for the next 18 months and the future, we will certainly stick to a principle of optimal capital structure. The reason why we are not saying anything more than what we are saying today, although it's pretty substantial, is that we still have the TNB transaction that is pending, and we would like to have any shareholder remuneration policy or capital allocation strategy to be elaborated within a very clear set of financial objectives for the group for the next 4 to 5 years. We have already, I think, covered a long distance over the last 6 months, pending the uncertainties related to TNB. But today, you see our capital allocation strategy, the way it defined as a very strong commitment to create value through as we called it an optimal capital structure.
Operator: Next question is from Alberto Villa, Intermonte SIM.
Alberto Villa: I have 3. One is back on Slide 14, where you show more details about the international business and you give us more details, and that's obviously very helpful. Can you maybe give us also an indication of revenues and operating costs related to this business in 2025 to have some more details there? And the second question is on the private markets. Thanks here again for giving us more visibility. At the same time, maybe you can elaborate a little bit on the amount of funds that will start to mature in the next, let's say, 2, 3 years and how it works if there are sort of grace periods or anything that can eventually accommodate any situation in which you -- the fund need more time or anything that could give more, let's say, details on that would be helpful. And finally, on one line item in the P&L, the financial income going forward, how should we look at it? Because maybe that's fueled by the investment of the liquidity you have in your balance sheet. So given that you are going to distribute, that's nice. But maybe -- is that fair to assume that financial income will be probably less supportive on the P&L side in the future?
Giorgio Medda: Okay, Alberto, I'll take the first 2 questions. Regarding the breakdown of our, let's say, P&L by region or business line, I would encourage you to look at our Slide 7 and 8. I mean, I think we tried to summarize what are the key underlying drivers of our business at all levels, revenues, cost and certainly margins. Also with this presentation, we are providing a look-through in terms of KPIs such as advisers or assets under management by single distribution lines. I wouldn't probably bore you now with all the details. And certainly, we are available for a follow-up call to discuss more what has been driving the business country by country or business line by business line. But in general, the business has been growing, average assets per adviser increasing scale effect across businesses and now have become pretty sizable, and we are able to extract operating leverage benefits. And you see that in terms of margins on assets or margins on revenues. As far as the private markets business is concerned, let me tell you something. Funny enough, we were the very first to start promoting private markets investments with individual or private clients -- but we have really been very cautious when it comes to offering evergreen funds to the same clients. I think the market has been inundated by what I call effectively an evergreen washing in the offering of these products. People really try to entice clients with providing them the dream of liquidity when actually there's no liquidity in the underlying portfolios. If that liquidity is sort of possible, maybe it comes at the expense of lower returns because obviously, funds they need to retain a meaningful cash buffer to honor the call for redemptions. We have really started probably with the most complicated part with our clients, explaining them the merits of diversifying across illiquid strategy, the possibility to enjoy what is the so-called illiquidity premium, patient capitals and within a diversified portfolio, certainly seeing how to create, let's say, a segmentation or diversification of the portfolio using different time horizons. On that basis, we have not relied on evergreen funds. And I can tell you, considering what is our average vintage that we would expect the first liquidations of the funds that we have launched over the last few years to start in '28, '29. And our clients, they are waiting for '28, '29 to get their money back and portfolios have been built with that specific purpose. So we are not planning and we do not see any need whatsoever to ring-fence or to gate or to sort of promote continuation funds because things are being done the proper way.
Alessandro Zambotti: Well, referring to your point on finance income, I mean, it's obviously, let's say, to take the point, considering, first of all, let's say, the different contributors on this finance income line. As I mentioned during the details of the evolution for referring to this year, we were talking about portfolio performance. We were talking about net interest turn, dividend from GP stakes. So there is a mix of things that they are contributing below EBIT. Obviously, compared it to last year where there was the benefit and the positive gain on Kennedy Lewis, we cannot compare the 2 here in a, let's say, fair like-for-like way. But at the same time, over the last 3 years, I would say that the finance income line is contributing on our net profit. Therefore, I would expect also for the next year to be at least in line with our EUR 40 million, but probably even more due to the fact that also there, we have the contribution of our partnerships our equity participation that are generating dividends. So again, a mix of things that make us confident to maintain a nice level of contribution on this line.
Alberto Villa: If I can follow-up question on the net inflows target. You started very well the year. Of course, as you did in the past, maybe you will adjust the estimate later on during the year. Is there any particular flavor you can give us in terms of what is happening in terms of contribution? Any area of particularly strong indications coming from the net inflows of the early months of the year?
Giorgio Medda: No, Alberto, we can tell you that it's a very balanced contribution from all the business lines, all the geographies. When you look at 2025, the global business was accounting for 66% of total net inflows, certainly and sign the U.S. took the lion's share for that. This year, we start 50-50 kind of balanced. And I think we are firing on all cylinders consistently across all the business lines and geographies. I mean, I think this is the beauty of the platform today. We see, particularly when it comes to emerging markets, what I call a synchronized growth, something that has not been always the case in the previous years where it can happen is a mixed bag. You have geographies doing very well, others slowing down. But now we see -- right now, we see really strong momentum across the board.
Operator: Next question is from Hubert Lam, Bank of America.
Hubert Lam: I've got a few questions. Firstly, on your excess capital, which you're focused on in terms of paying dividends and buyback, does this mean that in the near term over the next 18 months, you don't plan on doing any M&A? That's the first question. Second question is on private markets. Do you expect any slowdown in fundraising for the private markets, just given the noise in the sector, specifically on Slide 17. So will the rest of the fundraising target take longer than the first EUR 800 million that you've raised? And next question is also on private markets. I just want to double check what you said about redemptions. Do the funds actually have redemption features or not? And if they do have redemption features, can you remind us what the redemption profile is? And if I could squeeze in one more on your investment write-down that you had in Q4. I just -- sorry, maybe I missed it, but can you remind us or just elaborate what's related to? And any relation to any co-investments you may have with clients or not on the write-down?
Giorgio Medda: I will take your question on private markets. First of all, we are not expecting a slowdown. As I mentioned, we have a number of strategies that are actively fundraising right now, EUR 2.1 billion overall. We are kind of almost 1/3 -- more than 1/3 of that target. And we don't see any slowdown. I have to tell you that although we have been expanding globally, this franchise Italy still remains the most important market. And most of the things that we read today in the press, they are very much geographically isolated apart from our investors reading what's happening in the U.S., but this is the U.S. is not Italy and people -- they are not concerned. Certainly, we have our advisers that is the value of the Azimut's business model. We sit down with clients and they explain the differences and provide all the comfort they need with constant updates on the portfolio and providing all the reasons why if more investments are, let's say, possible, then these are effectively and efficiently placed into other private market strategies. In terms of liquidation or let's say, realization of investments and distribution to clients, as I said, we are expecting now, particularly for our private credit strategies, the first liquidation starting '28, '29. By nature, these are closed-ended funds. When it comes to private credit, think about direct lending, these are loans that have a term that is consistent with the fund life or the fund terms. We do not have any cockroaches. We have been always implementing very tight and disciplined investment policies, and it's not always working for every single investment the way we want. But overall, we are delivering and you see that from the performance of the different verticals, in average, a better performance than we have sort of discussed with clients when they came -- when they have come to the portfolio. So in general, as I said, unaffected by what's happening away from Italy, clients are very well catered in terms of being informed and explained what's happening, and we are growing. That means that at the end of the day, people they understood the differences and they put more trust in us.
Alessandro Zambotti: So I mean, looking to the capital structure, so probably going back to Slide 30, you can probably see where -- I mean that we put -- we put an amount of money that we commit for the '26 and '27 of EUR 300 million. This is -- I mean, it doesn't mean that we are going to do M&A with this amount. Obviously, it's a group that is growing. Therefore, we have to look back also again to regulatory requirements, look back to the operational cash needs because, again, we are present in 80 company. Therefore, we need to maintain the right level of the operating cash. As well, we are investing in general on the IT, on the AI. So we have a bulk of CapEx that we have to support to grow our business and to support internally, but also our financial adviser, our distribution network with the right instruments to proceed with the right way to meet and target the market. So all in all is an amount that as well as different view and different elements to consider. This cover, let's say, the portion of cash that we would expect to keep for this. Moving to the point of the investments, as I was referring during the explanation, again, we decide -- I mean, we evaluated the opportunity to be very conservative on 2 VC proprietary investments. Therefore, this approach help us to look again to the forward-looking of the numbers more confident on the future results. So we take advantages on that.
Giorgio Medda: And just to add one thing about investments, Alessandro said it all, but just also to link to what we said in the past. As opposed to the past, we are really putting at a same level growth and shareholder remuneration. What we are targeting is an optimal capital structure. Azimut is and it will always be a growth company. We will certainly consider should anything come to our attention, external financing for a transaction. What we are putting here is a clear statement in terms of giving the right and the same importance to shareholders and to growth opportunities. But it's a pretty unique proposition that we want to promote in the market. And hopefully, the market will appreciate it.
Operator: Next question is from Elena Perini Intesa Sanpaolo.
Elena Perini: The first question is on Slide 30, again -- 29, sorry, again, on your capital distribution strategy. Because I read from the press release and then the slide also confirms it that you are going to distribute EUR 750 million to EUR 800 million in dividends over the next 18 months. So this, I suppose, also includes the dividend that you propose now and is going to be paid in May, just for a confirmation. And then you mentioned that the dividend starting from next year will be split in 2 tranches. But I was wondering whether this would imply an interim dividend already in November this year and then the balance in May next year? Or on the contrary, you will have the first tranche referring to '26 earnings in May '27 and then the second tranche in November, just to clarify. Then going to Slide #30 on TNB transaction. Considering that June now is quite close and you are still waiting for the approval of the Bank of Italy is on your -- on the effectiveness of the remediation measures that you have taken. I mean, is it more likely to see the finalization of the spin-off in the second half? Just to have some flavor about the potential time line. And then finally, I have a question on your tax rate for next year. As you mentioned recurrent taxation for this year at around 21.5%. But if I remember well, you mentioned in the past a higher level of taxation for the future, but just for a confirmation.
Giorgio Medda: Elena, I will answer your question on the dividend. So 2026 dividend paid against the 2025 earnings will be fully paid at the end of May. And we will propose to the general assembly of shareholders to switch to installment dividend payment starting with 2027 against 2026 earnings. That is a transition to a new system that is in line with what now a very large number of financial services companies do, but has become now a standard. And I have to say that we see a strong merit to adopt the same policy as we have over the years, noted a behavior of the share price around the dividend payment that has been disturbing us creating unnecessary volatility. We want to offer very smooth and predictable cash flow generation for shareholders, hence, the decision to move to May and November payment against the previous year earnings.
Alessandro Zambotti: Well, taking your point of TNB and the expectation, well, as you know, we built the renewal of the binding agreements and the exclusivity in a way that there will be no additional pressure in the market and as well to the regulator in a way that it automatically the date of June can be postponed to the end of December without any additional negotiation or whatever. So basically, our attention now is on the remediation, as I was saying before, the funds and the FSI -- so FSI is focused on the regulatory side. And I would say both of us are concentrated to be in the right way, the migration process of this transaction because as you probably remember when also we discussed together, it's something that we cannot do not consider because it's significant and it's important tomorrow when the client will migrate and operate correctly starting from day 1. So this is our focus for the 2026, considering also, obviously, the objective to get there within the end of the year. At the level of the tax rate, if you recall Slide 26, -- we have mentioned the benefits, so the lower tax rate for this year, but also we confirm our guidance at 25% for 2026.
Operator: Gentlemen, there are no more questions registered at this time.
Giorgio Medda: Well, great. Fantastic. Thank you, everyone. Hopefully, we will catch up in person soon. Thank you.
Operator: Ladies and gentlemen, thank you for joining. The conference is now over. You may disconnect your telephones.